Company Participant: Xavier Rossinyol Espel - Chief Executive Officer Yves Gerster - CFO & Group Treasurer
Xavier Rossinyol Espel: Good morning, good afternoon, good evening, and welcome to this half year results presentation for Avolta. My name is Xavier Espel. I'm the CEO of the company; and next to me, Yves Gerster, our Global CFO. I'm going to use the presentation from our website and also projected here going straight to Page #4. The highlights of the first half year are another, and I think it's 12 now quarters in line with our outlook, very strong performance across all the key measures, starting with a reported growth, same currency of 7.1% for the first 6 months of the year, which is a strong organic growth of 5.7% -- as we're going to discuss in the next few minutes, this percentage is particularly strong, taking into consideration the challenges of the first half of the year, the slowdown in the U.S., the Middle East crisis and the ongoing geopolitical challenges, either in the Middle East, on Ukraine or in other parts of the world. Despite all that, we have delivered a clear positive growth on the first half of the year. EBITDA margin has expanded again 30 basis points at the midpoint of our mid- and long-term outlook, and we have generated also a very strong equity free cash flow. Of course, the cash flow per quarter is affected by the seasonality of the business and the CapEx, as Yves is going to explain later on. Commercially, we continue not only with a strong like-for-like, but with a positive business development in all of our 4 regions. And we've been reporting during the last few quarters advancements in all of them, both in food and beverage and retail. And we never forget that we are here to deliver value. And in the business development, that means focusing on profitable and good return investment. So we continue with an active portfolio management, focusing on getting the right ones and when necessary, exiting the wrong ones. We continue the strong push on the commercial and digital transformation. Our Club of Bolta has reached in June this year, 13 million members. If you look at the latest data we gave, it means we are recruiting about 0.5 million new members every month. We are getting more and better data, and we are able to keep improving our performance, thanks to that. We confirm again our midterm outlook. the 5% to 7% organic, the 20 to 40 basis points EBITDA margin expansion and a continuous growth of 100 to 150 basis points on the equity free cash flow. As we said in our Capital Markets Day, we want to be surprising for the passengers in our stores, in our restaurants, but we want to be tremendously predictable in the investors community. And this quarter and this first half year are again an example of this predictability. And part of this predictability is how we approach capital allocation. And it's exactly the same that we've been saying now for almost 2 years, focus on growth, focus on deleverage and focus almost obsessively in shareholders' value. Moving to the next slide. We can see that the growth was strong, not only during the full half year, but also in quarter 1 and quarter 2 despite all the challenges I mentioned. I think we explained in the past, our outlook of 5% to 7% is based that assuming the market condition, the geopolitical conditions could change. And if we have a bad year, we should be at the lower range. And if we have a less challenging year, we should be more on the top range. If we move to the next slide, we can see that this positive growth like in the first quarter is in all the regions with the exception of North America. And the weakness in North America is motivated by a lower number of domestic passengers in the U.S. This is well known in the market. This is TSA available information. The number of domestic passengers in the U.S. are slightly negative, and that's why our organic growth in that region is flattish, which I think puts even more value to the overall results. And I'm sure another year might be in the other way around. But this resilient growth is because our strategy and our focus on customer does work and also because of our strong geographical diversification and business line diversification, food and retail. Going to the next slide. This is just a reminder of what we explained in full detail during the Capital Markets Day. Our growth is based on like-for-like passenger but plus spend per passenger, which is either the average ticket growth or the conversion growth. On top of that, we have the business development and potentially, if they come to the right value, potential midsized, small-sized M&A. And we achieved the organic growth, thanks to what we call the Avolta growth engine. And the Avolta growth engine is this extreme focus on increasing the satisfaction and the sales per passenger, combining things on the physical space, the pricing, the assortment, the flexible spaces, the local look and feel, the combination of F&B and retail, the entertainment, but also the digital side with the smart stores, with the data, the loyalty program. And we do that not only to increase the sales per passenger, but also to attract and give more value to our brands, benefiting them, but also benefiting our margin and also benefiting the landlords, the airport partners because if we sell more, everybody gets a higher return. And I want to make a quick mention. Yesterday, Aena, as you know, our largest airport partner worldwide, made a specific mention to us and gave us or put us as an example on how airport and operator can work together to increase the performance in this case of retail, benefiting both the landlord, the airport partner and the operator. And I think it's particularly relevant because it's a very sizable operation, and it was not easy to achieve the performance we are getting. But it's a good proxy that investing in the customer benefits everybody that is in the airport or in the transportation ecosystem. I'll give a few flashes on each of these pillars. Of course, there was much more detail in our Capital Markets Day, and I think the video is available in our website if somebody wants to deep dive on that. Pricing and assortment, it's a key element of our basic business. And the only message here is we are more and more driving both based on data. It's less a decision driven by procurement. It's a decision driven by the data on passengers. Second, the flexible spaces. And I gave some data during the Capital Markets Day from space -- flexible space of less than 10%, 15%, we are moving to 30%, 40%, 50% on the new areas, on the new shops and the new restaurants. This business evolves very quickly. The profile of customers changes very quickly. We need to be having flexible stores. If we move to the next slide, also tremendous focus on the sense of place. Every airport, every service area, every cruise line has certain particularities. Addressing those on the look and feel, on the assortment, it's a way to increase satisfaction and sales. We had some journalists this morning here in Italy, and they were asking data about Italy. And 2 or 3 things came out that were pretty interesting. So #1 SKU we have in the Italian airports and in the Italian activities is cheese, its parmigiano reggiano. We sell more than 3 tons of cheese a year. That is, if you want a small example, but it shows that even the #1 product in retail can be a local product. The other key pillar, and that is only possible, thanks to the merger between Autogrill and Dufry, the new Avolta is the potential to use F&B and retail to mutually enhance each other. from cross promotions, sharing data, cross pricing, all the way to physical spaces that combine both, which could be a retail shop with some F&B or vice versa, coffee and convenience, food and duty-free, champagne and luxury wine and spirits, branded corners from why not to brand a retail space with a chocolate brand or a perfume brand, et cetera, et cetera. That capacity is pretty unique at scale in this industry. And what is very interesting is we see more and more examples of market moving into that direction, more tenders, more spaces allocated to hybrid spaces. On the next slide, entertainment. I'm not going to go. We have shown videos in the past. It could be from a flight simulator, a Formula 1 simulator, specific festivities linked. But what is really important is the bottom left of the slide. We do measure everything we do, not only on entertainment, on everything. This example is of camera analytics, and we can see what our commercial actions produce on the spaces that we are operating. We can see how the flow changes. We can see how people looks at certain displays or not, how they react if they talk to our personnel or not. And that is thanks to the smarter stores. And the smarter stores, they have the front end and the back end. Part of our digital push in the physical spaces is for passengers from digital advertising to self-checkouts to QR coding ordering, interaction, perfume simulators. And part of it is to improve the back of the office, providing data, for example, on AI-generated copilot for our shop managers. If we move to the next slide, Data, one of my favorites. This data I'm giving in this slide is well known, but I keep repeating it because it's pretty amazing. Last year, we had exposure to 9.5 billion passengers in the locations where we are, 670 million of actual customers. And now I realize I'm not sure -- I said 2.5 million, no, not perfect. Okay. Sorry, just making sure I was -- and then we have 13 million of members, as I mentioned, in our club book. From non-customers, just the people that go through our locations, the 2.5, we have data. We have data on how they move, how they behave in the shop. From our customers, we have much more data. We have basket size, average ticket. And maybe we have the boarding pass. We have the passport. We have the destination. So it's a lot of additional data. And for the club of Bolta members, of course, we have a level of intimacy, a detail that is much bigger. And we are using more and more of this data to fine-tune each of the pillars I've been mentioning in the prior slides. And to finalize this, again, some highlights on the loyalty program. The 13 million members that I already mentioned, and it's pretty consistent that they keep spending 3x the average ticket. So they are the frequent flyers and they are the highest spenders. At this speed, probably this year, the sales generated around Club of Volta will reach 6% or 7%. So it's already a sizable percentage of our sales. Next slide, please. All that is why we keep confirming our outlook. Despite all the things that are happening in the world because of our Volta growth engine and our strategic focus and our diversification, we still believe we can generate this outlook I mentioned earlier, 5% to 7% organic, 20 to 40 basis points of EBITDA margin increase per annum and equity free cash flow conversion increasing by 100, 150 basis points. And my last slide is on the capital allocation. This company and this management is tremendously focused on value. First, we invest in growth. Our existing stores, the commercial transformation, the digital transformation. Second, we invest in business development, new locations. And potentially, third, we could be doing from time to time midsized, small-sized bolt-on acquisitions. Only if they deliver clear accretion to the company and only at the right valuation and only if financed with our debt capacity and not with new shares. Second, financial discipline. We continue deleveraging this quarter again with a target to be a net debt to EBITDA of 1.5 to 2x, potentially going to 2.5 if there is some specific strategic growth, but extreme discipline on the balance sheet. Last one, value for shareholders. Progressive dividend of 1/3 of the equity free cash flow every year. If you see the outlook I just mentioned, you see that the equity free cash flow will increase materially every year and therefore, also the dividend. On top of that, if there is excess cash, we will continue doing share buybacks. We already did one last year. We announced another one for 2025, and we of EUR 200 million last year, EUR 200 million this year, and we have acquired so far almost half of the shares needed for this year. With that, I'm happy to hand over to our CFO, Yves Gerster.
Yves Gerster: Thank you very much, Xavi, and good morning and good afternoon to everybody on the line also from my side. Moving on to the financial results with the first slide, Slide #15, with the highlights of the financial results. Organic growth came in at 5.7% for the half year, with reported growth at constant exchange rate or total growth of 7.1% EBITDA margin improved to 9.3% for the half year. This is an improvement of 30 basis points versus the same period last year and in the midpoint of our guidance of 20 to 40 basis points improvement in the medium term. The equity free cash flow came in at CHF 216 million, in line or slightly ahead of expectations, which allowed us to deleverage to 2.15x from 2.35x, so by 0.2 turns over the last 12 months, reaching very close to the medium-term outlook or guidance of 1.5 to 2x net debt to EBITDA. Moving on to the next slide, Slide #16, with the profit and loss statement. Before we look into the details, two comments to the profit and loss statement. Number one, it is affected by the slower growth relative to the organization of North America. As you know, and as we have presented at the Capital Markets Day a few weeks ago, different concepts have different cost structures, but yield a similar EBITDA margin. Duty-free, convenience or duty paid and food and beverage reflect all quite different P&L structure, but yield the same EBITDA margin. And I think the P&L of this half year is a good example of that. Because of the slower performance or growth relatively to the rest of the group, North America, which is predominantly food and beverage and convenience has an impact on the group result. And as a consequence, we see a slight increase of the concession fee. Concession fee typically in North America because of the heavy weight of food and beverage is below the group's average. The second one is personnel expenses. Personnel expenses is more labor intense for food and beverage and as a consequence, is decreasing with a slightly slower performance of North America relatively to the group, and the same applies to general expenses. So that's the effect number one you see here. The effect #2 is the growth engine, which you just have heard about. It's the continuous improvement of the cost structure and the performance of the group overall. That helped us to grow on the top line and has contributed to the turnover and the revenue generated in the first half, but it also has led to a reduction of personnel expenses and general expenses overall and ultimately yielded the 30 basis points improvement in the EBITDA margin. Then if we look at the P&L below EBITDA margin, you see a slight improvement in the financial result. This is mainly derived from the refinancings done over the last 2 years, but also the increase in the ratings by the 2 rating agencies, S&P and Moody's. On the tax on the income tax paid, you see a very good result for the first half. That's obviously based on our approach to manage it. But then also, we potentially see a slight pressure and a little bit more normalized picture in the second half of the year. In regards to the rest of the P&L, this is in line with expectation. ultimately yielding a significant improvement of the earnings per share over the last 2 years by 19.6% in the half year '23 to '24 and 28.7% over the last 12 months from EUR 1.22 in half year '24 to EUR 1.57 this year. Moving on to the next slide, Slide #17, with the cash flow. Obviously, significantly supported by the operational results on the EBITDA level with an additional EUR 44 million of EBITDA. The rest of the cash flow statement is actually quite uneventful, all in line with expectations and also previous year. CapEx slightly increased to 3.7% versus 3.5% last year, yielding ultimately the EUR 216 million of equity free cash flow for the first half. Just want to mention quickly two additional elements on the cash flow statement. That's the dividend to the group shareholders we have paid earlier this year of CHF 143 million. It's CHF 1 per share versus the CHF 0.70 we have paid last year, an improvement of 43% or actually an increase of 43% year-on-year. And the treasury shares we have purchased, which ultimately at year-end, once we have purchased the full amount of up to CHF 200 million will be canceled. So for the half year, we have purchased so far CHF 92 million from a cash flow perspective. Moving on to the next slide, Slide #18, with the leverage. I've already mentioned it, but quite a steep deleveraging profile, disregarding the fact that we have significantly increased the dividend, as already mentioned, and purchased CHF 100 million of treasury shares under the share purchase program of up to CHF 200 million. So leverage stands at 2.15x versus the target of 1.5 to 2x net debt to EBITDA. On the maturity profile at the bottom side of the page, nothing surprising there. We have refinanced, as we have disclosed earlier this year, a CHF 300 million facility, a bond with a new EUR 500 million facility. We will use that CHF 500 million facility not only to refinance the bond, but also have now an additional capacity to potentially refinance with part of that cash, the maturity coming up in 2026, the CHF 500 million convertible bond. And as you know, we have sufficient liquidity under the RCF and also cash on the balance sheet, and we also intend to generate some further cash for the remainder of the year. So no refinancing risk in that regard at all. The Eurobonds we have issued earlier this year, we have fully converted into Swiss francs, which will reduce the interest expenses from the coupon of around 4.5% to around 2.4%. So very attractive terms indeed. Overall, before I hand back to Xavi, as a last statement, a very predictable financial result. And with that, handing back to Xavi.
Xavier Rossinyol Espel: Thank you very much. I'll move now to Page 20. Just a few messages. I'm not going to read the slide, but very good performance on the first half, similar start of the summer. Half one has been challenging. Despite that, we have provided a very strong set of results on the top line, but also on the results. We expect a similar second half, challenging environment. But because of our engine growth and our diversification, we will keep performing in the mid- and long term in line with our outlook. We want to be a company that surprises the passengers that provides an experience that they are not used to have, which, of course, incentivize them to consume more to our benefit and the benefit of our landlord partners and our brands. But on the market, on the investors community, we want to be extremely predictable, both on the delivery of results and the use of resources on the capital allocation. And that -- all of that is what you have seen now for 2.5 years. With that, I thank all of you for your attention, and we can open the floor for Q&A.
Operator: [Operator Instructions] The first question comes from the line of Manjari Dhar from RBC. [Technical difficulty] We take the next question from Jafar Mestari from BNP Paribas.
Jaafar Mestari: I have three, if that's all right. Firstly, on the Aena operations, as you said, you received some praise from the management of Aena yesterday on their own conference call. So that was a renewal where, obviously, you had your retail operations, but also you were allowed to experiment with hybrid concepts and with the potential convergence between retail and food. So my question is, it's a great testimony what are the next steps now that you have a very satisfied major client, you have a case study of what hybrid concepts can do to like-for-like performance. Can you do more with Aena in the short term? Or will that only be at the next renewal? Or elsewhere, now that you can show your other clients, what you can do with hybrid, do you think you'll have more landlords around the world letting you do the same sort of experiments? Second question on operating leverage. Today, do you have an estimate of what percentage of group revenue is still trading at or below the local minimum guarantees, particularly in Spain. So from here, every extra point of revenue, is it still generating significant operating leverage in some locations? Or is it more steady state from here, fully variable rents in most airports? And just lastly, on the early terminations in Asia Pacific, if you could just tell us a bit more about the countries or the airports that have been under review, quantify the revenue you're terminating? And just philosophically, why is that not treated as simply negative net new wins within organic growth, please?
Xavier Rossinyol Espel: So I want to take the first one. Look, I think Aena and our operations in Spain, it has become a very good proxy of what the Avolta growth engine means. Hybrids is one part of it, but every other single pillar I explained in this presentation has been deployed in Aena. And that has been possible, thanks to the vision of the landlord, the excellent collaboration between the Avolta team and the Aena team. And I do believe we have a lot of learnings in this collaboration that we can progressively extend to other places. The operational leverage that you asked particularly on the minimum guarantees. And we have some minimum guarantees, but it's limited the number of minimum guarantees we have across the group. Of course, I always say the same. On one side, it reduces the operational leverage, but it's also very positive on the risk profile. We do not favor minimum guarantees. And when we have them, we favor them per passenger. We believe this is a better option. But in some cases, it's not possible that the minimum guarantees exist. Spain is one of the cases. But as it was discussed yesterday, they have more freedom to discuss what they want and more limited on the confidentiality. But there are some parts of the business in Spain that are already ahead of minimum guarantee. That's something that was expected to happen much later in the concession. So that are definitely good news. And as they said yesterday, it's a combination of very strong passenger growth, but also a very positive spend per passenger. The last one you might want to take.
A - Yves Gerster: Of course. So look, in regard to the last one, so look, we enter via direct negotiations or tender into new concessions, and those are reflected under net new concessions when we win them and also once they expire naturally. In some limited cases and very specific cases, we may want to negotiate at mutually agreed terms between us and the landlords, a potential early termination. And if we do that, this is reflected almost kind of like a disposal under M&A and other.
Jaafar Mestari: And in Q1, M&A was contributing positively, almost 3% and now it's flat for H1. Is that roughly a good estimate?
Yves Gerster: No, there are a couple of things. I mean, point number one is you need to consider that in Q1, the positive M&A was mainly the Free Duty acquisition in Hong Kong, and you need to consider that this has been affected by Chinese New Year. So it was a very strong quarter in that regard, obviously, because of Chinese New Year, which then in the second quarter was not there anymore. It's point number one. And point number two is what I've just mentioned before.
Operator: The next question comes from the line of Harry Gowers from JPMorgan.
Harry J. Gowers: A couple of questions, if I can. Just the first one on your EMEA organic growth, that clearly continues to be very strong. So maybe you could remind us how much of that division as a split is from the Middle East, in particular, rather than Europe? And how much of a drag that might have been in the last couple of months, just given the geopolitical tensions? And the second one, I just wanted to ask on Heathrow in particular. We've seen Lagardère enter with a new recent contract win for the first time, which is in convenience. So could you remind us when your Heathrow concession is up for renewal? And do you envisage maybe that potentially being a bit more of a competitive tender or seeing some bidding pressure when that finally comes? I guess Heathrow may be looking toy their retail partners a little bit.
Xavier Rossinyol Espel: So on the organic growth, we don't give details below region, but I can tell you that in the second quarter, we estimate -- it's always an estimation, the missed sales because for sure, you don't have it. But the Middle East crisis on the locations that affected and also the passengers from other locations that couldn't travel to the region, we estimate in quarter 2 was an effect of between 0.2%, 0.3% on the growth. So the growth of 6% would have been 6.2%, 6.3% without the Middle East crisis. You know our policy. We do not disclose specific details per concession or location. So the only thing I can tell you is that any relevant location, we work always ideally even ahead of time on renewing. And we are very disciplined, as you can see, year after year on what we pay for space.
Operator: The next question comes from the line of Dhar Manjari from RBC.
Manjari Dhar: I just have 2 questions, if I may. The first question was on North America. I think the IOTA data suggests a bit of a pickup in July so far. So just if we were to see a more sustained improvement in the U.S., how quickly can you guys ramp back up and add costs back into the region? And then secondly, I just had a question on the loyalty app. I think it's off to a good first 9 or so months. But I just wondered what are your thoughts on further development opportunity for the app? And could you give any color on what you're seeing in terms of the spend profile of Club of Volta members versus nonmembers?
Xavier Rossinyol Espel: Look, North America in June, July, not a consistent trend, but we have seen a few weeks that have been better than the first 5 months of the year. You also had some airlines reinstating guidance for the second half, but we remain cautious. That's why -- because it's not a consistent trend yet. We cannot state the recovery is starting. So that's why I said we prefer to be prepared and expect also like the first quarter, the first half is still a volatile situation. If the recovery will be there, of course, we can ramp up very fast. We have a very flexible labor. I'm not talking about hours or days, but I'm talking about weeks. So if the recovery will be there, there will be no material or significant miss of sales because of that. The second question, I have to confess, I couldn't. The app. What is the further development on the app in general in regard to spend per person. So on the app, on the loyalty program, the loyalty program is not only the app because some of our loyal members of Claa Bolta use the app. Some of them use just in the wallet, you can download the card and use it. For the full use, as I said, it's 13 million with a recruiting of 0.5 million average per month, which is super strong. Different behavior in different locations. The more frequent flyers you have, the higher is the penetration of the loyalty program. Every day, the team of Clapa Bolta adds features. It could be improving the technicalities of the app. It could be adding new services, new airports that provide the service, add new partners. We added a couple of airlines in the last quarter, adding more special products, more experiences, more opportunities to donate. So any successful commercial interaction needs to be alive. If you do something and it works very well, but you don't change it, you don't improve it, you don't innovate. But that applies to the app, applies to the Club of Bolta, applies to the shops and applies to the digital, which reminds me that I don't think I fully -- fully answer one prior question. If the improvement in Spain was going to be continuous or just in the next renewal. And the answer is it has to be continuous. Of course, if you do a major intervention, maybe you do a first jump. But the idea when we talk about flexible stores, -- it's precisely because you need to continue improving and surprising the passengers. The model that you do one refurbishment, you enjoy it and then slowly decrease is not valid. You need to constantly improve. And that's the same thing we do on the digital world and in the physical world.
Operator: The next question comes from the line of Gian Marco Werro from Zurcher.
Gian-Marco Werro: Two questions from my side. The first one is on your expansion plans in Asia. You mentioned that you want to expand there also with duty paid and also with food offerings, especially in China, I can remember, Wuhan, for example, would be great to have some of your insights there about your first experiences, which categories are working the best for you and also the further expansion plans there. Second one, you also gave a lot of details at your Capital Markets Day for your growth drivers, especially new spaces is a big topic. Can you give us the impact of new spaces also for the second quarter 2025? And then very general also for the spaces, can you provide to us the total retail spaces that Avolta operates today must be around or close to 500,000 square meters today?
Xavier Rossinyol Espel: Thank you very much. I mean, look, I think we've been very clear that the geographical diversification, including Asia, but also Middle East, also Africa and also continuing Europe, North America and Latin America, we believe it's very important for 2 reasons. It facilitates the growth because you have exposure to more passengers. And second, it's a risk diversification. The world is very volatile. Geopolitics changes a lot as we see over and over. And having the most global presence at the right terms and conditions is something that guarantees this resilience and this predictability in the growth. In that context, APAC remains a priority for us. But we always made the caveat that it's a mid-, long-term strategy that will take a few years to get the right presence because we are not pursuing market share per se. We are pursuing value. And for that, we need to enter each of the markets at the right terms and the right conditions. We believe that the new behavior of the Chinese passengers, which is probably here to stay, will produce a material restructuring of the Asia Pacific market in the next 2, 3 years. We monitor it very closely, and we will do more things when it's the right place -- when it's the right moment. So patience, you will keep seeing developments, but only at the right time. Growth spaces, I mean, you have, I think, in Page 5, we don't need to go to the slide, but in Page 5, you have the net new concessions on quarter 1 was 0.2 in quarter 2 was 1.2 and the average for the first half was 0.8. I don't have the number of square meters in my head right now because our main driver are passengers and not square meters. So I keep in mind passengers spend per passenger, average ticket, conversion ratio, et cetera, et cetera, et cetera, but not the square meter, but I'm sure Rebecca can provide you that data after this call. Thank you.
Operator: [Operator Instructions] The next question comes from the line of Manuel Lang from Vontobel...
Manuel Lang: I have two follow-ups and then a separate question. So the first one on North America. So passenger growth that was roughly flat, right, in U.S. domestic very slightly negative in the second quarter. So I'm just wondering if you can point out the magnitude of the spend per pax versus the passenger growth mix in your North American business and what we should think of that going forward? Then another follow-up on the club members. So we see members growing strongly and also contributing now significantly to the sales. But what's your estimate on how this will impact margin given also the relevant discounts that members are getting on the purchases? Or in other words, do you see a big difference in margin between the revenues from club members versus nonmembers? Then the third one would be on CapEx. So in the first half, you were at around 3.7% of sales. I'm just wondering if you will repeat that in the second half as you did last year or if it would increase to the guided 4% of sales?
Xavier Rossinyol Espel: Look, the passengers in the U.S. because the way the terminals work, they are not measured exactly the same way than in Europe. But basically, you have passengers being negative depending on the month between minus 0.5% and minus 1%. TSA reports that data. And our like-for-like has been slightly positive. So it means that our productivity has been around plus 1%, plus 1.5% Still, the organic at the end of the day, when you put everything together is roughly flat. The behavior between the first and the second quarter has been similar with the exception that I mentioned that a few weeks in June and July, the trend was a little bit more positive, but then it's still not consistently a change of trend. I need to be now careful how I answer your second question, which was a very smart question. We are working in a way by which the net effect of Clapo Bolta members is not dilutive. And how we do that with a lot of collaboration with the brands on providing the necessary benefits that sometimes are discount, but sometimes our exclusive products, sometimes our access to collectibles, sometimes our experiences. So it's more than discounts. We work with brands to make sure that the net effect of that in our gross profit margin is not dilutive. And probably, you want to take the last one, Yves?
Yves Gerster: Sure. So look in regard to CapEx, we are not guiding for CapEx. We have the outlook on turnover, on EBITDA margin improvement and cash flow improvement. What we have said several times in the past, especially at the beginning when we disclosed the strategy was around 4%, and that's still true. So look, we are not going to deviate from that, and I think it's a good proxy also for the future. This year, half year 3.7%, around 4%, give or take, and in some years can be a little bit more in some years can be a little bit less. I think it's a very good indication and proxy from a modeling perspective.
Operator: We now have a question from the webcast from Tim Barrett of Deutsche Bank. You speak about restructuring the concession portfolio. Are these contracts materially loss-making? Will there be a cash exit cost? GM was unchanged despite the lower mix of F&B. What other factors are impacting here?
Xavier Rossinyol Espel: For obvious reasons, we cannot disclose the specifics of confidential agreements, but everything we do is always based on the idea of generating value. You should not expect any material or significant negative effect because of those exits in the -- so there are no one-offs, material one-offs for that concession restructuring. On the GM, on the gross profit margin, I guess.
Yves Gerster: Look, I mean, on the gross profit margin, it's basically what we have discussed on the P&L. Due to the fact that North America is not growing in line with the rest of the group, it also affects to a certain extent, the gross profit margin because North America, it's food and beverage or predominantly food and beverage has an above-average gross profit margin. And because that's not growing in line with the rest of the group, it puts a little bit of pressure for the gross profit margin. So year-on-year gross profit margin is neutral, positively affected by our improvements and slightly negatively affected by the slower performance of North America.
Operator: There are no more questions at this time. I would like now to turn the conference back over to the speakers for any closing remarks.
Xavier Rossinyol Espel: Well, just to -- first, to thank your attention, particularly in many countries, the middle of holiday periods. So for the ones that are enjoying your holidays, enjoy them. The ones that you're going to do it, enjoy it. And always remember, when you're traveling, don't forget to spend in our food and beverage and our retail operations. And if you're a Club Bolta member, you will get even some very keen advantages. So thank you very much. Hope to see all of you soon. Thank you.